Operator: Hello, everyone, and welcome to the FIGS Second Quarter 2022 Earnings Conference Call. My name is Victoria, and I will be coordinating your call today. [Operator Instructions]. I'll now pass over to Todd Maron, Chief Legal Officer, to begin. Please go ahead.
Todd Maron: Hi, everyone. And thank you for joining today's call to discuss FIGS' second quarter 2022 results. We released our results earlier this afternoon, and they can be found in our earnings press release and in the shareholder slide deck on our Investor Relations website at ir.wearfigs.com. Presenting on today's call are Trina Spear, our Chief Executive Officer; and Daniella Turenshine, our Chief Financial Officer. As a reminder, remarks on this call that do not concern past events are forward-looking statements. These may include predictions, expectations or estimates, including about future financial performance, market opportunity or business plans. Forward-looking statements involve risks and uncertainties, and actual results could differ materially. These and other risks are discussed in our SEC filings, including the 10-Q we filed today, which we encourage you to review. Do not place undue reliance on forward-looking statements, which speak only as of today and which we undertake no obligation to update. Finally, we will discuss certain non-GAAP metrics on the call, which we believe are useful supplemental measures for understanding our business. Reconciliations of these non-GAAP measures to their most comparable GAAP measures are included in the earnings press release and shareholder slide deck we issued today. Now I would like to turn the call over to Trina Spear, Chief Executive Officer of FIGS.
Catherine Spear: Thanks, Todd, and good afternoon, everyone. Thank you for joining us for our second quarter 2022 conference call. I would like to start today's call by thanking the entire FIGS team for their engagement, agility and impressive execution. I am especially grateful for their unwavering commitment to the health care community as we work each and every day to create products that help our Awesome Humans better serve their communities. Now on to our results. We delivered another strong quarter with continued advancements across our key growth strategies. In the second quarter, we delivered top and bottom line results that beat our expectations despite a challenging macro environment, with net revenue growth of 21% and an adjusted EBITDA margin of 18%. We continue to see a strong response to our product innovation in both our scrubwear and lifestyle offerings as well as the ongoing deep engagement amongst our customers. We are especially pleased with our strong performance during Nurses Week, particularly in light of the supply chain challenges we faced earlier in the quarter. Looking at our performance, net revenue was once again driven by growth in active customers, which increased 26% and reached over 2 million. Growth was also driven by higher AOV and revenue per customer. We expanded brand awareness globally, and our first order retention rate also remained strong at approximately 50%. We delivered strong adjusted EBITDA performance, and gross margin exceeded 70%, which was also ahead of plan. We are very proud of this performance in light of cost pressures in the supply chain and inflation. Now I'd like to provide a brief update on the supply chain, which we feel really good about. Overall, supply chain and logistics remain pressure points for the industry. However, we continue to navigate these challenges well. We are no longer using the sailing route that led to the rerouting delays that impacted our Q1 deliveries, and we are also seeing improvements in ocean transit times and schedule reliability. As you'll recall, due to the delays we previously were experiencing, we revised our product launch calendar to adjust for the new delivery time line, and we remain very comfortable that the flow of incoming inventory will enable us to meet our calendar. I am very proud of our team's swift response to the challenges we faced last quarter. We acted early and proactively as we leaned on airfreight to ensure we have the product to meet the needs of our health care professionals. That is our top priority, and air has been very reliable with rates having decreased at least for now. We will continue to enhance our supply chain capabilities and inventory flows to improve efficiencies and prevent any disruption to our business. Now I'd like to shift gears and talk about the demand environment and our observation. Data analytics is a core strength of FIGS. We have extensive information about our customers, including what they want, when they want it, the quantity they wanted in and how they want to engage with us. We use this data in two primary ways, first of which is connecting with our community in personalized ways, like determining how and when to speak to our 26-year-old nurse in Boston versus our 56-year-old oncologist in Houston. Secondly, we use this data to deliver a continual stream of product innovation. We are always looking for new ways to address health care professionals' needs, both on-shift and off-shift through thoughtful, innovative solution. This has garnered incredible brand loyalty with 70% of our sales stemming from repeat customers who keep coming back, not only for our core scrubwear, but also for our expanded lifestyle offering. This is driving consistent year-over-year increases in AOV as existing FIGS customers increased their devotion over time, especially as we continually add new technology, functionality and innovation into our assortments as well as product extensions that make a difference. Our recent survey work shows that we are becoming a larger part of our most loyal customers wardrobe, with closet share of scrubs increasing from 55% to over 70% in the past year. The more FIGS becomes embedded in our customers' lives, the more we grow. Our data also helps us monitor shopping behavior, such as frequency of visit. During COVID, we saw an increase in frequency, which we attribute to a number of factors, including an increased need for -- need to replenish scrubs, stimulus checks and a pronounced shift to online shopping across the board. While digital companies like ours have also seen frequency moderate from peak COVID levels, we continue to see exceptional growth in our business. LTM revenue has grown 4.2x since 2019, driven by a greater than 3x increase in active customers and higher spend per customer. All of these metrics are going up into the right. Beyond our existing customer base, we have a tremendous opportunity to extend our reach by developing product solutions to fulfill the needs of health care professionals in every category. For example, we recently launched our dental lab coat, with thoughtful features like stain-resistant Nanotex technology to repel liquid and ribbed cuffed sleeves for dental procedures. And our dentists loved it with over 80% sell-through on day 1. This quarter, we also launched FIGS PRO, which is a great example of how we can leverage our deep knowledge of health care professionals and product innovation to broaden our reach within the health care community. FIGS PRO is our business casual scrubwear collection that we created for the office. This collection serves the need of a wide variety of health care providers, including concierge medicine, medical office personnel, hospital administrators, telemedicine and med spa practitioners. And this collection enables us to further expand our share of wardrobe who already wear our core FIONx scrubs. FIGS PRO is extremely well received with better-than-expected sell-through, and its early success further illustrates the enormous market opportunity ahead of us. Similarly, our recently introduced lifestyle offerings continue to perform above our expectations. Our layering system is focused on outfitting our community from head to toe, and underscrubs, our functional base layer, has become an important component of that. This category grew over 60% year-over-year as we expanded within our performance underscrubs, including a body suit for the perfect top 10 in lock. We have so much opportunity to expand within this category as we think about all the layers health care professionals wear beneath their scrubs, and we are so excited about what's to come. Finally, as we have said in the past, our product launches drive demand and new customer acquisition, which is a dynamic in our business that we lean into. We actually see 2 to 3x more new customers on a launch day than an average day. Our company is built on innovation. We have an incredible pipeline of product launches that we believe will drive further engagement and extend our reach. We look forward to sharing more details on a number of exciting product introductions, updates of beloved silhouette and highly anticipated color launches that we have planned for the rest of the year. Now I'd like to touch on our key marketing moments from the quarter, including another successful Nurses Week, which delivered growth of 41%, and it was our largest volume week ever. We launched four new colors of scrubwear, in addition to a limited edition Crocs collaboration during Nurses Week. These launches were supported by marketing efforts and brand activations across key cities that led to strong engagement from both our and our new customers alike. Growing great awareness is an important part of our growth strategy, and we saw an untapped opportunity to expand our presence within the United States. We have targeted four cities with dense concentrations of health care professionals, including Seattle and Houston in May and we'll hit Philadelphia and Chicago later this year. Our launch in Houston was a big success. When we rolled out our Houston pop-up truck during May, we had lines around the corner, averaging about 600 guests per day. We also sponsored a YouTube Masthead Takeover, with 7.7 million users watching the video. We saw signals continuing grassroots momentum for our brand. We also recently held our ambassador immersion after a hiatus due to COVID. This annual event is just one of the meaningful ways we support and care for our ambassadors. This gives them the opportunity to recharge so they can return to serving others. Throughout the event, they shared their experiences with their broader social media networks, which led to 2.3 million impressions collectively. Our ambassadors are an integral part of our success, and we are always eager to support them. I want to take a moment to reiterate the importance of our ambassador program and to emphasize the authenticity of the relationships we have built with our ambassadors over the years. Our ambassadors are an enormous driver of word-of-mouth marketing, which is our primary method of new customer acquisition. The program currently consists of 300 relationships, half of which are exclusive with some of the health care industry's most prominent voices. And each week, we receive thousands of applications from health care professionals around the world wanting to join our effort. FIGS was the first company to bring together the most influential voices across health care and encourage of social flow of ideas and experiences. While these conversations can be about a lot of issues, they're often about FIGS and the passion people feel for our products and our values. As a result, FIGS stayed top of mind within our ambassador community. We're incredibly grateful that we have built our business alongside our ambassadors. The bond we created with them is impossible for others to replicate, and gives FIGS a big competitive advantage as millions of people discover our brand through our ambassadors. Additionally, it is an amazing thing to see how our reach on social media continues to grow. Just as we created a medical influence on Instagram, TikTok is massively growing our reach and has become a larger part of our focus. As a data point, there are currently over 400 million views of videos on TikTok that our health care community has organically created using the #wearfigs. It's clear that health care professionals not only love FIGS, they love talking about FIGS and sharing their stories. And with that, let me touch on international, which we believe is an untapped growth opportunity for FIGS. We have spent the first half of this year focused on building the fundamentals to accelerate future growth in international. In the second quarter, our priority has been creating an exceptional localized experience with site-specific assets, tailored messaging and an increased ambassador presence. We also began exploring initiatives that will enable international customers at the same level of accessibility to our products that our U.S. customers enjoy, by covering their duty and shipping costs as well as providing free return. As we focus on these initiatives, we also decided to keep most of our marketing spend in the U.S. Even with minimal marketing, International grew 18%. In April, we soft launched in new new countries in the EU, including Belgium, France, Germany, Ireland, Italy, Netherlands and Spain. And we've been extremely pleased with the early results. Everything we've seen so far gives us great confidence in the potential for FIGS outside of the U.S. We are extremely proud to have delivered revenue growth in excess of 20% and an adjusted EBITDA margin of 18% despite a challenging macro environment. Our performance speaks to the resilience and strength of our brand and our business model as well as the operational excellence of our teams. We have incredible brand affinity and a very loyal customer base, industry-leading product innovation, replenishment-driven products and an extremely effective word-of-mouth marketing strategy. There is no other brand that has the data, innovation and powerful connection to the health care community that comes even close to FIGS. This is what gives us the confidence in our ability to deliver outsized growth, both in the U.S. and internationally. We are more excited than ever about the long-term growth potential of our business, and we continue to advance our growth strategy. Before I turn it over to Daniella, I want to take a moment to discuss the change in management titles announced earlier today. As you saw, Heather and I decided to transition from our titles of co-CEOs to Heather as Executive Chair and myself as sole CEO. Over many years, including since we've become public, Heather and I are frequently asked how a co-CEO structure works and who does what. For us, it's always worked seamlessly because we bring complementary skills and experiences to our leadership team, and we also have a tremendous amount of respect for each other. Now that we've gone through our first year as a public company, we feel it's a good time to formalize the division of responsibility that's already informally been in place. As Executive Chair, Heather will continue her work innovating on product, where she has delivered enormous value to FIGS and will continue to do so. As FIGS' sole CEO, I will continue to manage the company's strategy and day-to-day operations, working with the rest of our leadership team to make sure that FIGS continues to thrive. As a result of my ongoing partnership with Heather, the way that business is done at FIGS will continue very much in the same way it always has. And with that, I'll turn over the call to our CFO, Daniella Turenshine.
Daniella Turenshine: Thanks, Trina, and good afternoon, everyone. We are pleased with our second quarter performance as we successfully navigated supply chain headwinds and delivered results ahead of our expectations. Now looking at our financial results. Net revenues for Q2 increased 21% to $122.2 million compared to Q2 last year, driven by an increase in active customers as we continue to expand our reach globally and maintain strong retention as well as higher average order value, or AOV. AOV grew 6% from Q2 2021 to 109 this quarter as we increased deposit share. This growth was driven by both higher units per transaction and average unit retail as we continued strong adoption of our lifestyle offerings, led by growth in footwear, outerwear and underscrubs. We continue to find that our lifestyle pieces are additive as orders containing these items had a 27% higher APT in the second quarter than orders without lifestyle pieces included. Net revenues per active customer increased to $227, up 4% from Q2 2021, driven by the growth in AOV. As Trina discussed, frequency was slightly down year-over-year, but has since stabilized from Q1 levels as we return to a more consistent product launch calendar in the second quarter. Gross margin for Q2 was 70.6% as compared to 73.3% in Q2 2021, above our expectations due to lower-than-expected freight costs. The 270 basis point decrease as compared to Q2 last year was primarily due to a higher freight expense for both air and ocean in addition to shifts in our product mix. This was partially offset by improved product costs in scrubwear as we continue to scale. Moving to operating expenses. Selling expense for Q2 was $26.8 million, representing 21.9% of net revenues compared to 19% in Q2 2021. The increase was due to higher shipping and fulfillment expenses as our transportation partners passed along fuel inflation and higher labor costs. These higher costs were partially offset by the increase in new PTs. Selling expense came in better than our expectations, largely due to timing of our fulfillment expansion moving into Q3. Marketing expense for Q2 was $20.8 million, representing 17% of net revenues compared to 15.3% in Q2 2021. As we told you we would do, in 2022, we are focusing more of our investments on brand initiatives to expand awareness. We believe this is important now because of the large opportunity in front of us, given our low market share, particularly in the select cities we are targeting. This year-over-year increase was driven by our dynamic marketing activations in Seattle and Houston, in addition to the return of our first ambassador immersion post-pandemic. This was partially offset by cost efficiencies we achieved in performance marketing. We continue to believe that fundamentals related to our customer acquisition remains strong with new customer acquisition, mainly driven by word-of-mouth. G&A expense for Q2 was $29.3 million, representing 23.9% of net revenues compared to 70.7% in Q2 2021. This decrease was primarily driven by non-cash stock-based compensation associated with our IPO last year. This was partially offset by higher public company costs year-over-year. Taking this to the bottom line, our net income was $4.9 million or $0.03 in diluted EPS for the quarter. Adjusted net income was $6.3 million and diluted EPS, as adjusted, was $0.03 in Q2. This compares to adjusted net income and diluted EPS of $14.3 million and $0.08 per share in Q2 2021, respectively. Finally, our adjusted EBITDA for Q2 continued to be strong at $21.5 million for an adjusted EBITDA margin of 17.6% compared to 26.5% in Q2 2021. This change was primarily driven by macro pressures related to higher freight expenses and outbound transportation costs. Touching on our balance sheet. We finished the quarter with cash and cash equivalents of $170.2 million. In the second quarter, we grew our inventory balance to $127.6 million. As we have discussed, we are strategically utilizing our strong balance sheet to ensure that we have the supply needed to hit future demand. We are able to increase inventory with little of selection risk due to the seasonless alleys and soft nature of our uniform products. Over 30% of this balance is in inventory in transit, which has continued to rise with the increase of lead times on the water. Of the remaining inventory in our warehouse, approximately 50% is in core styles and core colors, products that live on our site year-round and are always available, and almost 20% is in future color and style launches and we scheduled early to ensure product arrives before their launch date. We feel comfortable with this increased use of working capital given our healthy balance sheet and confidence in our ability to sell through this additional inventory. Moving on to our outlook. Based on what we can see right now, we continue to expect 2022 net revenues to be approximately $510 million to $530 million, representing growth of 22% to 26% compared to 2021. While we are managing supply chain challenges well and the fundamentals of the business remain strong, we recognize that there are significant macroeconomic forces pressuring consumer spending and making it more challenging for us to forecast with the same degree of certainty as we have done in the past. Overall, we continue to believe in the resiliency of our business, given our revenue forecast of 22% to 26% growth. But if macro pressures continue to worsen, we could come in at the lower part of our range. While we have a number of upcoming product launches, promotions and marketing campaigns, we feel it's prudent to acknowledge the uncertainty in the economic environment and the impact it could have on our business. With respect to gross margin, our priority remains the long-term success of FIGS. As discussed last quarter, given the increased unreliability of ocean freight, we shifted more of our freight mix to air to ensure timing consistency for our launches. Since our last call, we have seen some improvement in freight rates, although there continues to be fluctuations in transportation rates and freight costs are typically higher during high-volume periods, such as back-to-school and holiday. As a result, we are maintaining our back half 2022 gross margin outlook. While profitability flow-through was better than expected this quarter, some of that benefit was related to a timing shift for our fulfillment center expansion into the third quarter. Additionally, we have identified opportunities to reinvest back into the business, in areas such as marketing and international expansion that will drive long-term growth at an attractive return. Therefore, we continue to expect our 2022 full-year adjusted EBITDA margin to be in the range of 16% to 18%. We expect the tax rate for Q3 to be in excess of 50% and for Q4 to be in excess of 40% based on assumptions for stock-based compensation expense. We remain incredibly optimistic about the opportunities in front of us, and we'll continue to balance our tenets of high growth and profitability through effective capital allocation. From a flow perspective, we expect our gross margin rate to be similar in the third and fourth quarters. Within operating expenses, we are planning higher selling expense in the third quarter to support our fulfillment center expansion that shifted between periods. Given these factors, we expect third quarter adjusted EBITDA margin to be in the mid-teens. In closing, we remain excited about the long-term growth opportunities ahead of us and are proud of the team's ability to navigate through these short-term supply chain challenges. We are committed to reinvesting in our business and making the long-term investments required to work toward our goal of $1 billion in net revenues by 2025. We cannot wait to deliver on all of our plans. With that, I will turn it over to the operator to kick-off our Q&A session, first, with our analyst community addressing their questions. We will then answer a handful of questions received from our shareholders through the Say platform. Operator?
Operator: Thank you. We will now start our Q&A session. [Operator Instructions] Our first question comes from Edward Yruma at Piper Sandler. Please go ahead.
Edward Yruma: Hey guys, good afternoon. Thanks for taking the question and congrats on the quarter. Two questions from me. I guess, first, on the quarter itself, a lot of your other peers saw the curating sales trends in the quarter. I know you guys provided the kind of proviso that macro could weigh on results, which would drive you to be the lower end of the guide. I guess did you see any change in your trend during the second quarter? And then Trina, a bigger picture question for you. You and Heather have been very successful at managing business together. I guess, first, congrats to both of you. How does this management shift change the way that you guys run the business, if at all? And does this allow you to maybe be more nimble or grow faster? Thank you.
Daniella Turenshine: Thanks, Ed. I'll take the first question. So in response to trends that we saw in the quarter, as we discussed, we did see an acceleration in frequency during 2020 to 2021 due to COVID, elevated stimulus, stay-at-home orders and other macro factors. Since then, it came down a bit in 2022, partly due to supply and has since settled slightly ahead of 2019 levels. On the flip side, we have seen continued gains in AOV as customers are buying more overall when they shop. So we're really excited to see continued growth in revenue per customer. Despite the macro environment, it shows that our customers are still continuing to come and spend more over time in aggregate. In the beginning of the quarter, we were still dealing with more supply chain challenges. So it was really great to be able to see trends improve throughout the period as we continue to manage through those issues.
Catherine Spear: And in terms of -- and Ed, great to hear from you. In terms of Heather and myself, Heather has always been incredibly -- really an expert of -- product genius, creative genius. This is really where she adds the most value. She's going to really focus on product innovation, and I'm going to be focused on the strategic direction and overseeing the day-to-day operations of the business. I think this is a great thing for the company. I do, to your point, think it's going to allow us to move very quickly, being nimble and provide a lot of clarity, both internally and externally. And it's very much as a natural evolution of where we are today.
Edward Yruma: Thanks so much.
Operator: Thanks for your questions. Our next question comes from Adrienne Yih at Barclays. Please go ahead.
Adrienne Yih: Hello, everyone. And let me add my congrats. Nicely done navigating through these murky, murky waters. So Trina, I guess my first question for you is, I'm curious about sort of consumer behavior. You obviously did not raise prices this year. You made an intentional move not to kind of pass through some of the inflation you're seeing. So I'm wondering how customers have reacted to that? Do they see your product as kind of like an "Equip Value" and everything is inflating around them? And then what's happening with the replenishment length? Obviously, the frequency, it sounds like she's coming back and she's buying more. But is she replenishing on a longer and maybe she's not working as much. So is that lengthening out? And then Daniella, I'm wondering if you can help us sort of -- you talked about offset by kind of economies of scale and hitting some breakpoint numbers. Can you parse out at all or give us any color on what that -- what the AUC would look like ex-inflation as you reach these new break points? Thank you very much.
Catherine Spear: Sure. So Adrienne, I think in terms of pricing and what we're providing. As you know, we've always been focused on providing real value, affordable accessible products for our health care professionals. And we have a really robust process around how we price. I think to your question around frequency, right, we've seen a repeat frequency. We moderate a bit, actually. But in the second quarter, we've improved our repeat frequency versus the first quarter. So Daniella can kind of dive into that. But I think what we have really been focused on is not necessarily how often people are coming to us, whether they come back less often and spend more or come back more often and spend less. Where we're really focused is on revenue per customer, right? And what we continue to see is that number is going up and to the right. And so even though they are coming back a little less often when they're coming, they're spending more, and we don't see any real shift in trade down, right? We don't see any -- nobody wanting to go back to the world of holding up their pants or have -- or obtaining their wedding ring to the shop, right? They want FIGS. So when they're coming to buy scrubs, they buy FIGS.
Daniella Turenshine: And as it relates to your second question about the economies of scale that we see in our product costing, so we're really excited to continue to see those offsets in gross margin in product costing as we scale, particularly within our core scrubwear. Within that, we have seen some inflation in materials, but it's been great to see that our growth has really outstripped that increase. And that's because a lot of what we do within core scrubwear. Over 50% of our business is in core scrubs and core styles, and so we're able to get really strong efficiencies from such a big base, and we expect to see that in the future.
Adrienne Yih: Very helpful, best of luck. Thank you.
Daniella Turenshine: Thanks, Adrienne.
Operator: Thank you. Our next question comes from Lorraine Hutchinson at Bank of America. Please go ahead.
Lorraine Hutchinson: Thanks, good afternoon. I wanted to follow-up on some comments you made last quarter about trends softening due to macro factors. It sounds like things have improved since then. And I guess as you look at it in hindsight, was this simply just the supply chain issues? Or do you think something has changed with your underlying customer?
Catherine Spear: I mean we don't really see any real change in our underlying customer, right? Our business is resilient, recession-resistant, replenishment-driven health care professionals. They need our uniforms to go to work and do their jobs. We're not completely insulated from what's happening in the broader economic environment from an inflation standpoint, but we do feel like we're more resilient than others, and the health of our consumer is strong.
Lorraine Hutchinson: Thanks. And then I wanted to follow-up on the product launches. Are you back on track at this point? I know you moved one out of -- 1Q into 2Q. Is that completely caught up?
Daniella Turenshine: Yes, so we had a product launch that shifted into the second quarter. Similarly, we've had a few things that shifted out of the second quarter into the third quarter. But we made the decision at the beginning of the year to utilize more airfreight to bring stability to this product launch calendar, and that's mostly going to impact Q3 and Q4. And we feel really good about the back half and the decisions we made and our ability to hit our calendar for the back half of the year.
Lorraine Hutchinson: Thank you.
Operator: Thank you. Our next question comes from Bob Drbul at Guggenheim Partners. Please go ahead.
Robert Drbul: Hi, good afternoon. Just two questions. Number one is on the lifestyle offerings in the non-scrub items, can you just talk a little bit more on sort of the appetite for the lifestyle? Have you seen any change in regards to the appetite for the non-replenishment type products? And then, Trina, can you just spend a little more time just what you've learned on the International side, maybe just prioritize which markets have been the most receptive to your entry and sort of how you might sell that from where we are today? Thanks.
Catherine Spear: Sure. I mean I think our lifestyle -- from a -- so first off, thanks, Bob, for the question. From a lifestyle perspective, we feel really great about our lifestyle offering. And a lot of these categories within lifestyle, we feel like we barely scratched the surface on what's to come. We mentioned underscrubs. Underscrubs is a massive category that grew 60% year-over-year. Lifestyle overall grew 70% year-over-year. And so our layering system, the way in which we're merchandising our products online with our kits, it's really resonating. It's really resonating with our community. And we feel like there's so much more to come in terms of what health care professionals are wearing underneath their scrubs, on the outer layers, to work, at work, from work, on-shift, off-shift, head-to-toe. There's so much more that we're excited to bring forth to this industry -- into this market. In terms of International, Canada, in U.K., Australia, these are markets that we've been in for a couple of years now. They're doing very, very well. We've launched into seven new countries in last quarter, and we made that announcement. I think what we're seeing is incredible results early on. And we have not even -- we've had such minimal marketing around these markets. And so what we're really trying to do is build a strong foundation. The words we use are go slow to go fast, right? So it's a really strong foundation so we could build long-term, sustainable profitable growth for many years ahead of us. So that's what we're doing.
Robert Drbul: Great, thank you.
Operator: Thank you. Our next question comes from Brian Nagel at Oppenheimer. Please go ahead.
Brian Nagel: Hi, good afternoon. Congrats on a nice quarter and navigating that macro down very, very well. So the first question I have with regard to product launches. Sorry, the question I have is going with to product launches. And I guess going back to what was said on -- which you outlined on the last conference call that as a result of the shipping issues, you had delayed some product launches or spread them out. So as you look at the business now, and if I'm hearing you correctly, that yes, there still are supply chain issues out there, but they seem like to becoming more manageable. And at the same time, you're actually having some of these costs come down at airfreight. Would you look to, once again, reaccelerate product launches or have you found a better spot now?
Catherine Spear: I think just based on what we've aired in, there's going to be a higher cadence around how we're launching products through the back half of this year, and that's really exciting. We're not looking to do anything beyond that. We made the strategic decision to airing those products, and so they're going to be launching in a really nice flow throughout the rest of this year. And there's so much that we're doing not only within scrubwear, but also to the question earlier, around underscrubs and outerwear. We also have extended sizing coming later this year at FIGS PRO. It's a huge innovation that we're going to continue to build on. So as you know, product innovation is everything to us. And even with having Heather focused a lot of her time and doubling down in innovation, we're so excited about what's to come going forward.
Brian Nagel: Got it. And then my second question, so just with regard to macro -- if I'm hearing you correct, I think you're recognizing a more challenging macro backdrop. And it doesn't sound to me like you're saying -- I guess maybe a clarification, you're seeing anything really noticeable in your business that's purely macro-related. So the question I have then is as you think about your marketing, are there levers you're pulling with your own marketing that could help to offset -- could help to cushion a more challenging macro backdrop?
Daniella Turenshine: So as it relates to macro, we're recognizing -- we feel really good about the health of our business, but also recognizing that there's just a lot of uncertainty at the moment, and we don't fully know what the future will bring. In respect to marketing, nothing's really changed from how we're thinking about it on our last call. Still anticipating marketing to come in between 14% to 15% of sales for the full-year. I think it's important to note that how we grow is based on word-of-mouth. So we're able to be really efficient with our spend, and we also benefit from repeat dynamics within our business where we don't spend heavily to retain customers, they keep coming back because they love our product. So we're always balancing growth and profitability, and we're going to continue to do so. We're targeting cap that makes sense for the business. And this strategy makes sense for where we are today. We have so much room to grow, and we continue to think it's incredibly important to invest behind marketing.
Brian Nagel: Okay, well thank you and congrats again.
Daniella Turenshine: Thanks, Brian.
Operator: Thank you. Our next question comes from Rick Patel at Raymond James. Please go ahead.
Rick Patel: Good afternoon and congrats on the strong execution. I'm hoping you can expand upon your guidance for gross margins in the back half. You had some nice upside in the second quarter despite the headwinds related to freight, which seem to be showing signs of improvement. So I'm hoping you can provide additional color on what your expectations are for the gross margin for the back half relative to three months ago? Just curious what's changed for the better and what you might be incrementally more cautious on?
Daniella Turenshine: So as we discussed on our last call, we do anticipate gross margin being lower in the back half of the year than the first due to a few factors. So first of all, we decided to airfreight more product in the second half than we did in the first to ensure that we hit our calendar and that we could fulfill demand in a timely manner. And while we have seen rates come down more recently, they're still much higher than pre-COVID levels. And we're being cautious about the potential for continued volatility, especially as we begin to enter high-volume, back-to-school and holiday season. So we want to make sure we're encapsulating everything and also giving ourselves room for the situation to change as we've seen it just be really dynamic in the past.
Rick Patel: Thanks very much.
Operator: Thank you. Our next question comes from Brooke Roach at Goldman Sachs. Please go ahead.
Brooke Roach: Good afternoon and thank you so much for taking our questions. Trina, I'd love to dig into the outlook that you have for AOV, given several moving pieces here with product mix shifts, the promotional backdrop and also new product innovation that you have planned for the back half. Can you help us understand where you think that might move as you continue to build out your lifestyle portfolio?
Catherine Spear: Thanks, Brooke. Daniella, do you want to take that?
Daniella Turenshine: Yes. So with AOV, it's the same trends that we've been seeing for several quarters. So lifestyle mix drives higher average unit retail as our lifestyle products are generally higher priced. We also saw a higher AUR within lifestyle. So increasing shoes and outerwear, which are higher priced products in the portfolio. And again, UPT increasing as customers adding the full look to their cart. Really excited to see orders with the lifestyle piece, had 27% higher UPT than their scrubs-only counterpart. In the future, we're going to continue to execute on the same strategies that have driven AOV up to date. So continuing to focus on product innovation and really building out the full layering system and also continuing to focus on the digital products and make improvements there. So we're excited. We think it's going to continue to grow year-over-year, and we're excited to see it from here.
Brooke Roach: Great, thank you. And just as one quick follow-up. Trina, I think I heard you talk about size expansion as an opportunity for new innovation into the back half of this year. Can you talk to us a little bit about that opportunity and what you see its impact on the FIGS brand and the business overall?
Catherine Spear: Yes, we're super excited about this. And we've been talking about it for a very long time, and we feel as though we're almost there. So in terms of size -- extended sizing, inclusivity has always been part of what we do here and who we serve, and we have such a broad diversity of health care professionals that we are serving every single day. And so right today, we have extra, extra small, up to 2XL for women, extra small to 2XL for men. We have petite and tall and regular. Actually we launched our petite top yesterday, which is super exciting. So it's always been a part of what we do. So launching 3XL to 6XL, we're looking to launch later this year, and it's a really incredible thing and something that will very much be very exciting for our community.
Brooke Roach: Thanks so much. I'll pass it on.
Operator: Thank you. Our next question comes from John Kernan at Cowen and Co. Please go ahead.
John Kernan: Excellent, congrats on a nice quarter. Thanks for taking my questions. Daniella, just on inventory, it looks like the dollars and the growth rate accelerated from Q2. This -- or excuse me, into Q2 from Q1, and this theme we've seen across softlines retail. How do we think about inventory dollars as we get into the back half of the year and just the overall costs associated with this inventory that's on the balance sheet relative to where it was last year from an AUC perspective?
Daniella Turenshine: Definitely, so we're seeing shipments come in faster than anticipated as port congestion clears and some of the inventory plan for 4Q will actually be arriving in 3Q. So visibility in the supply chain has meaningfully improved and we made the decision to airfreight and bring goods in sooner to ensure we were positioned to hit our product calendar. As I mentioned in my prepared remarks, approximately 50% of our inventory is in core styles and core colors, products that live in our site year-round and are always available. Another 20% is in future launches that we brought in earlier. So we feel really good about our ability to sell through this with little risk.
John Kernan: Got it. And then just looking into next year. Obviously, some of the supply chain and freight costs have normalized, at least on a spot base system. I'm just curious, do you have any thoughts on the recovery potential from a margin standpoint and what you were hit with on a trade perspective this year?
Daniella Turenshine: So there remains considerable uncertainty in the macro environment today. We do believe that if we return to a more normalized supply chain environment, and this kind of is the continued path, that we can return to our long-term target. So we're going to continue to monitor what we're seeing in the supply chain and keep everyone updated on what that means for 2023.
John Kernan: Got it, thank you.
Operator: Thank you for your questions. Our next question comes from Noah Zatzkin at KeyBanc Capital Markets. Please go ahead.
Noah Zatzkin: Thanks for taking my questions and congrats on a great quarter. Just really quickly want to make sure I'm understanding. So your commentary around improving the supply chain improvement quicker than expected, did that shift anything in terms of product launches into the second quarter that were previously expected in the back half? And then just a follow-up, many of your peers have called out headwinds from fuel surcharges from carriers, just wanted to see if you were experiencing any of that? Thank you.
Daniella Turenshine: So as it relates to the second quarter, we did see a product launch moved from the first quarter into the second quarter, and we've seen one moved from the second quarter into the third quarter. But nothing has shifted forward as it relates to things that were originally planned for the back half moving into the second quarter. As it relates to fuel surcharges, it's definitely something that we have seen, and it is one of the reasons we see selling deleverage. I think it's important to note that we've been able to really offset some of these increases from fuel surcharges by the leverage that we get in AOVs and able to keep some of our margin and profitability that way.
Noah Zatzkin: Thank you.
Operator: Thank you, Noah for your question. At this time, there are no further questions, and I would like to pass back over to Trina.
Catherine Spear: Thank you so much, operator. So we have a few questions from our Say platform. Thank you all for writing in. It's so exciting seeing your questions. First one, FIGS stock is down since the IPO. What is FIGS doing to increase profit margins? First off, with respect to the stock price, and I think I said this on multiple calls like this, in the short run, everyone -- I think everyone knows now, the stock market is a voting machine. But over the long run, it's a weighing machine, and that's where we're focused. We're focused on building a company over the long run, an iconic brand over the next 100 years. And the stock market is extremely volatile, and that's due to a ton of different macro issues that I'm sure you're hearing all over the news and on a lot of other calls. So that's not where we're focused. We're focused on the fundamentals of our business and executing every day. And right now, the market isn't really reflecting the fundamentals of our business. In terms of our profits, even in the current environment, we're continuing to prepare significant growth with strong profitability. And that was true again in this quarter, right, where we grew 21% and had an adjusted EBITDA margin of 18%. We're really proud of that. And considering our growth and our profitability, the fact that we have a largely nondiscretionary replenishment-driven business, we're also serving the fastest-growing job segment in the country. We believe that our true value will be reflected in the long run. The second question we received, are you concerned with companies who sell knockoffs of your products at lower prices? First off, every day at FIGS what we say is we don't look less and we don't look right. We focus on ourselves. This is an execution game. This is about innovation of product. This is about connecting with our community, and that's what we're looking to do. That said, the companies selling knockoffs of our products generally do very little business. They're a tiny fraction of our size. And given the uniqueness of our designs and the fact that we're the first, right? We're the first and will always be the first to offer our health care professionals innovative products over the long run, we've been able to obtain multiple design patents and have a lot of IP protection on all of our products. And so we're really, really excited by that. So -- and so everyone knows, we do take our IP very seriously. And we look to take enforcement action against any company who's attempting to succeed by wrongfully copying what we've created. And finally, it's important to emphasize that what's really important in dealing with knockoffs is to constantly innovate and connect. And so that's what we're going to continue to do. Third question, and I think I answered this as part of the other questions we received from our analyst. But when we'll FIGS be offering extended sizes? This is a great question. And like I said earlier, really, really exciting to be able to bring 3XL to 6XL to this -- to our community. And we recognize that this is important. It's really important for our brand. It's really important that we serve all parts of our community, and we're working around the clock to make this happen, to offer our community best-in-class fit across a full range of sizes. And we're really excited to launch this later this year. With that, thank you all for your questions. Thank you for joining us for the second quarter 2022 call, and have a great day.
Operator: Thank you, everyone, for joining today's conference call. You may now disconnect.